Operator: Good day, and welcome to AMC Networks Inc. Fourth quarter earnings call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. Instructions will be given at that time. As a reminder, this call may be recorded. I would now like to turn the call over to Nicholas Seibert, VP of Corporate Development and Investor Relations. Please go ahead. Thank you.
Nicholas Seibert: Good morning, and welcome to the AMC Networks fourth quarter and full year 2024 earnings conference call. Joining us this morning are Kristin Dolan, Chief Executive Officer, Patrick O'Connell, Chief Financial Officer, Kim Kelleher, Chief Commercial Officer, and Dan McDermott, President of Entertainment and AMC Studios. Today's press release is available on our website at amcnetworks.com. We will begin with prepared remarks, and then we'll open the call for questions. Today's call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks SEC filings for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements made on this call. Today, we will discuss certain non-GAAP financial measures. The required definitions and reconciliations can be found in today's press release. With that, I'd like to turn the call over to Kristin.
Kristin Dolan: Thank you, Nick, and good morning, everyone. We appreciate you joining us today. Before we get into the call, I wanted to say that we've been focused on supporting our employees and creative partners in Los Angeles during the recent devastating fires. We're thankful for the heroic efforts of firefighters and first responders and recognize the long-term period of recovery and rebuilding that lies ahead for our people and the entire city. I also want to acknowledge the recent passing of our founder and longtime chairman, Charles Dolan. A visionary and industry icon who created businesses like Cablevision, HBO, and AMC Networks, Mr. Dolan always took a long-range view in business, building companies and shaping industries with a clear strategic vision. We have the privilege and responsibility of continuing that approach today and into the future as we execute on our core strengths and advantages and navigate the changing world of media. Now to our results. As we look back on the fourth quarter and full year 2024, I'm encouraged by our progress. Patrick will report on our financial results and outlook in greater detail, but I'm pleased to report that even in this uncertain and shifting environment, we achieved our full-year guidance for 2024. This includes consolidated revenue of $2.4 billion, consolidated AOI of $563 million, and most importantly, free cash flow of $331 million. Free cash flow generation has been strong. And today we are increasing our outlook to approximately $550 million of cumulative free cash flow over the 2024-2025 period. At a time when all media companies are facing challenges, our size, nimbleness, and independence allow us to move quickly to create new opportunities for ourselves and for our partners. Our innovative mentality is driving our approach to content creation, distribution, advertising, and new partnerships. This freedom and ability to take a more imaginative approach to our business played out in a number of ways over the past year. We ended 2023 with an unconventional experiment to put some of our shows on the Max streaming service, and they quickly became top titles. In 2024, we built on this success with an expansive branded licensing agreement with Netflix that featured prior seasons of more than a dozen of our shows, including some of our most important franchises. We believe exposure on this massive platform would boost viewer awareness and interest in our titles, and that's exactly what happened. The exclusive availability of current seasons on AMC Plus drove viewership and acquisition on our own platform. Walking Dead: The Ones You Live was added to Netflix last month and appeared on the platform's US top ten list the following day and remained there for weeks, rising as high as number two ahead of Squid Game and other titles. As we prepare for the return of the US streaming rights to the original The Walking Dead series in less than two years, it's great to see continued strong interest in this very active and vibrant universe. Our partnership and bundling activity continued in the fourth quarter. We launched a two-month content exchange with MGM Plus to promote sampling and drive subscriptions on our respective platforms. Subscribers on both sides of the exchange reacted positively. We saw double-digit gains in engagement and acquisition on AMC Plus, led by the Sci-Fi horror series From, and The Walking Dead: Daryl Dixon was a top performer for MGM Plus, spending multiple weeks in its top ten list and peaking at number two. We expanded access to the AMC Plus and STARS bundle by making it available through VIZIO. We offered new bundles through Verizon and brought AMC Plus to platforms like Philo, with a very positive consumer response. These arrangements helped drive healthy streaming subscriber additions in the fourth quarter. They also underscore the strength of our AMC Studios IP and ability to partner and reach viewers in new ways. As audiences continue to fragment, our number one goal as a company is to produce and curate great shows and films and make that content as easy as possible to access. This strategy requires management of our own platforms and strong relationships with our distribution partners. In 2024, we renewed agreements representing about half of our US linear footprint, including multiyear deals with Charter, Cox, Verizon, and Cable One, among others. And a reminder that our Charter deal will make AMC Plus available at no additional cost to all Spectrum customers who receive AMC as part of their TV package. This is in keeping with Charter's broader strategy to bundle streaming value into its video service and will significantly expand the universe of people who have access to AMC Plus. In the last 24 months, we renewed the vast majority of our Canadian distribution footprint agreements that include easy access to AMC Plus for our partner video and broadband customers. We also saw a significant expansion of our FAST channel distribution with major launches on platforms like Roku and Prime Video, and we closed a long-term renewal of Amazon Prime Video channels for the distribution of our streaming services. We kicked off our 2025-2026 upfront last week, hosting some of our most important, longstanding commercial partners at an event spotlighting our technological leadership in advertising. Building upon previous advances in addressable and programmatic buying through our Audience Plus platform, we unveiled a groundbreaking attribution product called AMCN Outcomes. We now give our advertising partners real-time insight into purchasing decisions that are driven by consumers' exposure to our partners' marketing messages, another meaningful first for AMC Networks. And later this year, as previously announced, we will launch an ad-supported version of our popular Shudder streaming service. Let me share a few programming highlights across our linear networks, targeted streaming services, and film business. The fourth quarter included our two biggest annual programming events on AMC and AMC Plus: Fear Fest and Best Christmas Ever. On linear TV, AMC finished the quarter as a top ten entertainment network with adults 25 to 54, with Fear Fest and Best Christmas Ever driving the network to its highest-rated months of the year in October and December. BCE also attracted a record number of sponsors and advertising partners this year. On streaming, Fear Fest drove AMC Plus to record movie viewership, with Best Christmas Ever also showing double-digit year-over-year growth in film viewership. WeTV remains the number one entertainment network on Friday nights among women in the 25 to 54 demo. In 2024, WeTV had two of the top three cable originals on Friday nights among women 25 to 54, including Mama June and Love After Lock Up, which is also the number one Friday original among black women 25 to 54, followed by the Braxtons at number two. The Braxtons finished its first season as WeTV's highest-rated new reality series in more than three years. BBC America, which we now fully own, just premiered the most recent BBC natural history tentpole series, the stunning Planet Earth Asia, again narrated by Sir David Attenborough. We are excited to kick off 2025 with a robust slate of highly anticipated new original programming, including the second season of Anne Rice's Mayfair Witches and the highly anticipated third season of Dark Winds exclusively on AMC and AMC Plus. We are excited for the return of Dark Winds on March 9th, after the series' first two seasons spent an uninterrupted month on the Netflix top ten list last summer. This year, we'll see the return of The Walking Dead: Dead City, a thrilling new series called Nautilus, the third season of The Walking Dead: Daryl Dixon set in Spain, and a new series in our growing Ann Rice Immortal Universe called Anne Rice's Tallamaska: The Secret Order. Our targeted streaming services continue to delight viewers with the depth of content in distinct categories that are not available anywhere else. Shudder had an incredible year, releasing six of the top ten horror films of 2024 as ranked by Rotten Tomatoes. Acorn TV brought fans another season of Jane Seymour in Harry Wilde, Sharon D. Clark in Inspector Ellis, and will premiere a new series called Irish Blood starring Alicia Silverstone later this year. This is a sample of the depth and appeal our targeted streaming services offer. As research shows, streaming subscribers continue to seek out special and distinctive content as opposed to more of the same. IFC Films had a fantastic year. Its diverse slate included critically acclaimed titles like Memoir of a Snail, Ghost Light, The Taste of Things, and Late Night with the Devil, which set an opening weekend box office record for the company. I want to congratulate everyone at IFC Films for the recent Oscar nomination for Memoir of a Snail in the Best Animated Feature category. We are all incredibly proud of the film and grateful for this recognition. We've consistently emphasized programming, partnerships, and profitability as our key priorities in running this business and moving the company forward. As we look back on our 2024 results and look forward to a productive year ahead, I'd like to also recognize our people. This is not an easy or straightforward time to be working in media. But as I see your progress, I'm thankful for our collective ability to adapt, evolve, and lean into the advantages and strengths we bring to this dynamic and changing marketplace. Now I'd like to turn the call over to Patrick for a detailed look at our financial results.
Patrick O'Connell: Thank you, Kristin. I'm pleased to report today that 2024 landed right where we said it would. As a nimble and innovative premium programmer, we've maintained focus on what is within our control despite a challenging linear environment. We are proud of the progress we've made over the last two years, including reorienting our business around free cash flow, investing in valuable world-class IP, and remaining focused on our balance sheet. We achieved our full-year guidance for 2024. Consolidated revenue was $2.4 billion. On an apples-to-apples basis, excluding 2023 revenue from 25/7 Media, Silo, Hulu return of rights, and 2024 revenue related to the one-time advertising revenue adjustments at AMC and I. Consolidated revenue decreased 6%. Consolidated operating loss was $40 million and included impairment and other charges of $400 million and restructuring charges of $49 million. Consolidated adjusted operating income was $563 million, and most importantly, delivered significant year-over-year free cash flow growth with free cash flow of $331 million. For the fourth quarter, consolidated revenue was $599 million. Consolidated operating loss was $254 million and included impairment and other charges of $303 million and restructuring charges of $43 million. Adjusted operating income was $129 million, and we generated free cash flow of $38 million. So now discuss our segment results. Domestic operations revenues decreased 9% to $2.1 billion for the full year and decreased 11% to $520 million for the fourth quarter. Subscription revenue decreased 5% for the full year and 4% for the fourth quarter. The decrease was primarily due to linear subscriber declines, resulting in a 13% decline in affiliate revenue for both the year and the quarter. This was partially offset by streaming revenue growth of 7% for the year and 8% for the quarter. We ended the year with 12.4 million streaming subs, representing a year-over-year increase of 8%. Domestic operations advertising revenue decreased 11% for the year and 12% for the fourth quarter. The decrease was primarily due to lower linear ratings, a challenging ad market for entertainment, and was partially offset by continued digital growth. Digital advertising revenue, including addressable and revenue from our FAST and Avant offerings, continues to grow at a double-digit rate. And in 2024, this digital revenue represented approximately a quarter of our overall domestic operations. Content licensing revenue was $277 million for the full year, and $67 million for the fourth quarter. There were a couple of items in 2023 that impacted the comparability of our 2024 results, including the final delivery of AMC Studios produced episodes of Silo to Apple, the early return of rights from Hulu, which resulted in $56 million and $20 million of one-time revenue in 2023, respectively. Excluding these items, our full-year licensing revenue increased 4%. As our library grows every year, we have more SKUs to sell, and while some of our bigger ticket shows like Fear the Walking Dead contributed less meaningfully toward 2024 results compared to 2023, this was more than offset by new business, including Netflix, Sky in the UK, and increased licensing volume from our targeted services. Domestic operations AOI was $620 million for the full year, and $152 million for the quarter. Margins for both the full year and fourth quarter were 29%. The year-over-year decrease in AOI for the full year was largely driven by continued linear revenue headwinds. For the fourth quarter, the increase in AOI is primarily driven by lower expenses and streaming revenue growth, partly offset by linear revenue headwinds. Moving to our international segment, International revenue included advertising revenue related to retroactive one-time adjustments reported by a third party of $21 million for the full year and $7 million for the fourth quarter. Excluding 25/7 Media, which we divested a year ago, and the one-time adjustments I just mentioned, international revenues decreased 3% for the full year and increased 2% for the quarter. On an apples-to-apples basis, advertising revenues grew 16% and 12% for the full year and fourth quarter, largely the result of the strong performance of our AVOD offerings on the ITVX in the UK, as well as increased ratings and growth across our Central and Northern European advertising markets. Subscription revenues declined 11% for the full year and 5% for the quarter. For the full year, the decrease in subscription revenue was attributable to the nonrenewal of a distribution agreement in the UK that occurred in the prior year. For the quarter, the decrease was primarily driven by unfavorable FX. Moving to international AOI. Excluding the one-time adjustments to advertising revenue, full-year AOI was $45 million with a 15% margin and fourth-quarter AOI was $1 million. Onto the balance sheet. We ended the year with net debt of $1.6 billion and a consolidated net leverage ratio of 2.8 times. We remain focused on our balance sheet, and we're pleased with the results of our efforts over the last 24 months. This includes gross debt reduction of approximately half a billion dollars and the completion of a series of financings that extended our maturity profile now with no bond maturities until 2029. Additionally, we've maintained a healthy cash position and ended the year with approximately $1 billion in total liquidity. This includes $785 million of cash on the balance sheet and our undrawn $175 million revolver. We appreciate the flexibility and optionality of our meaningful cash balance and continue to expect that our capital structure will present attractive opportunities for us over time. Our capital allocation philosophy remains prudent and opportunistic. First, we look to support the business by creating and acquiring compelling programming that resonates with our audiences while maintaining healthy levels of cash flow generation. Second, we remain focused on continually improving our balance sheet, reducing gross debt, and optimizing our capital structure. Lastly, M&A, share repurchases, and dividends remain further down our priority list. Moving on to our outlook for 2025. I'll start with our most important metric, free cash flow. As Kristin mentioned, on the heels of strong cash generation delivered in 2024, we are pleased to update our outlook today for the two-year period ending 2025. We now expect to generate cumulative free cash flow of approximately $550 million by the end of 2025. This implies approximately $220 million of free cash flow for the full year 2025. Our outlook contemplates increased cash interest payments resulting from the recent refinancing activity, as well as a year-over-year increase in cash taxes as we lap certain tax benefits recognized in 2024. Looking at revenue for 2025, we expect total consolidated revenue for the full year 2025 to decrease approximately 5% as compared to 2024, implying total revenue of approximately $2.3 billion. As it is still early in the year, the geography of certain revenue and expense items may shift as the year unfolds. Notwithstanding that, I'll unpack the current assumptions that underpin our outlook. First, regarding domestic operations subscription revenue, we expect 2025 subscription revenue to be flat as compared to 2024. We anticipate that linear subscriber headwinds will persist and will result in slightly worse year-over-year affiliate revenue growth as compared to 2024. This will be offset by accelerated streaming growth. Streaming revenue growth will be driven by price increases, expanded distribution of our offerings, and discretionary marketing investments. As such, we expect streaming revenue growth in the low to mid-teens percent area compared to 2024. With respect to advertising revenue, as I mentioned earlier, digital advertising revenue growth remains robust, and we're now growing off a more meaningful base. Notwithstanding that, the linear ratings environment and entertainment ad marketplace continues to be challenging. Therefore, we expect 2025 domestic revenue to decline approximately 10% as compared to 2024. Reschedules. Today, across the many desirable titles in our library, we anticipate approximately $250 million of domestic operations content licensing revenue for 2025. For AMC Networks International, we expect revenue in the range of $290 million to $300 million for the full year 2025. As I discussed earlier, we recognized $21 million of one-time adjustments that impacted 2024 results. For 2025, excluding these 2024 adjustments, we expect year-over-year international advertising revenue growth. Additionally, we anticipate the subscription revenue would decrease year-over-year, largely owed to a recent non-renewal with Movistar in Spain. We expect that this non-renewal will represent a $15 million headwind to both revenue and AOI in this segment. Moving to expenses. For 2025, we expect consolidated technical and operating expense to increase as compared to 2024, driven by higher non-amortization, technical, and operating expenses, including certain duplicate expenses related to our technology outsourcing transformation. This will be partly offset by a year-over-year decrease in programming amortization related to our 2025 slate timing and composition programming write-offs that occurred in 2024. For SG&A, we anticipate a year-over-year increase in SG&A expense for 2025, primarily related to increased streaming-related marketing investments focused on driving retention, which we anticipate will drive profitable streaming growth. In terms of consolidated adjusted operating income, while we see strong streaming and digital advertising revenue growth, and expect our portfolio of streaming services will contribute to our consolidated AOI in 2025, dynamics I just discussed, including continued linear revenue headwinds and year-over-year expense growth, remain the primary factors in driving our AOI outlook. As such, we expect consolidated AOI for the full year to be in the range of $400 to $420 million. Cash programming spend can vary quarter to quarter and year to year. And for 2025, we expect a slight decrease in year-over-year cash programming spend due to the timing of our programming commitments. As Kristin said earlier, we take a long-range view of the business, and we're managing AMC Networks with a clear strategic plan centered around programming, partnerships, and profitability. As we enter our third year since reorienting the business, this strategy continues to animate our market approach. Our commitment to creating high-quality content remains at the center of everything we do. As an independent, nimble, and innovative premium programmer, we approach the marketplace a bit differently than others, including building out our library of powerful franchises, monetizing our content across an evolving distribution ecosystem, and driving profitable outcomes. We'll continue to preserve capital with a focus on our balance sheet, cash flow generation, and balance appropriate levels of programming investment against the available monetization opportunities. Operator, please open the line for questions.
Operator: Thank you. Our first question comes from Thomas Yeh with Morgan Stanley. Your line is open.
Thomas Yeh: Thanks so much. I wanted to ask about the free cash flow outlook in the context of your cash spending comments. The $930 million cash spend you put up, I think, in this year ended up being a little bit lower than the $1 billion you guided to. You spoke to further decreases in 2025. How much of that is timing versus just an increased focus on efficiency and your outlook updated in terms of how you see the, you know, the potential opportunity for putting new content to work in the system.
Patrick O'Connell: Sure. Great. Hey, Thomas. It's Patrick. Thanks for the question. You know, our strategy remains the same, right, which is balancing investments in our programming with driving profitability in the business. Obviously, programming is our largest expense category. You know, we're extraordinarily focused on maintaining a portfolio of super high-quality scripted programming across, you know, linear streaming, etcetera. We continue to do that even as others have pulled back from the market. Frankly, the differentiator in many of our affiliate conversations. So the strategy has not changed. In terms of the specifics, pre-cap the cash programming spend came in a little bit lighter in 2024 than we have initially guided to. You know, this is us just being prudent. We're able to produce on a per-episode basis, you know, a little bit better than we expected. We've got some fantastic people internally who are taking available or taking advantage of all the tools available to produce efficiently. So we've been the beneficiary of that, and you know, we have also instituted a program where we're sharing more content across channels, platforms, etcetera. That's allowed us to sort of program the broader company a bit more efficiently. But we obviously remain committed to similar levels of cash programming spend going forward. So I would say, you know, efficiency was kind of the reason for the be quote unquote in 2024. Slight reductions in volume going forward, but not significant. We're producing at similar volumes going forward into 2025. The slight sort of decrease that I expect in cash programming for 2025 has to do with sort of those two factors, I would say. One, modest reductions in volume, but not anything dramatic. And then two, and you might appreciate this, there is a lag in our receipt of certain tax credit receivables. There's a bunch of them that are gonna hit in 2025. So those net out against our cash programming expenses. And that's driving part of the reduction in the year-over-year decline.
Kristin Dolan: Okay. And yeah. Just wanted to just reiterate, and we were pretty specific about it in the script that the quality of the content that Dan and team continue to produce is, you know, it's very reassuring to see the attention we got on Netflix, the Oscar nod, you know, for Memoir, and just overall the response that we have and the engagement that we have to the shows that we're producing. And we've really been able to capitalize when shows like Daryl Dixon where we're filming in Spain or in France on tax efficiencies. We have some shows planned in Canada. We do a lot in Ireland. So we're really optimizing without in any way compromising the integrity and the quality of what's coming out of our shop.
Thomas Yeh: Okay. Understood. That's helpful. And some nice momentum in the streaming subscriber growth continued into 4Q. Sounded like bundled partnerships helped, but also the Netflix licensing deal was a contributor as well. You maybe just tease out the balance of the contribution between those two and how we kinda see the outlook being supported in 2025 from a volume perspective in AMC Plus. And maybe the future of the targeted streaming services. And then if I could just squeeze one last one in and that same kind of context. Just a clarification on the guide. Is the Charter deal showing up in some allocated form between affiliate and streaming in terms of the subcomponents, Patrick, that you provided. Thank you.
Patrick O'Connell: Enter. Great. Thanks, Thomas. Yeah. Listen. On the streaming subs, listen. We continue to have, you know, pretty good momentum across all of our services. And when you look at it, across the entire business, we had sort of the lowest churn or we had year-over-year declines in churn on a consolidated basis across the portfolio. So obviously, retaining subscribers, you know, kinda helps drive the numbers. We've also, as you pointed out, been the beneficiary of some fantastic kind of bundled arrangements. As Kristin talked about, you know, a lot, you know, we are very nimble, very flexible. We love the with others. We're highly complementary. Think it adds value into the ecosystem. It's great for consumers. It's obviously great for us in terms of being able to distribute products with a little bit less, you know, kinda hard marketing dollars. So those are very efficient go-to-market channels for us. You know, as we look forward into 2025, you know, we're expecting really healthy streaming revenue growth. That'll be driven by a lot of price action. But also kind of unit volume as well. So we're really excited about this momentum and I'd point out folks that if you unpack the guide, you'll notice that we've called out sort of flat subscription revenue year over year. So that implies, you know, almost $100 million of incremental streaming revenue here. Which is gonna essentially offset, you know, some of the speculative declines in your business. So super excited about that. In terms of the specific geography on the guide in terms of revenue, you should assume that, you know, that Charter deal is baked into the specific revenue line items that we gave. More to come on and end up with that. Importantly, that deal doesn't kick in until Q1, so we'll have more to say in terms of the details, in terms of subscribers, but you should just take the guided base style at this point. Charter deals baked in.
Kristin Dolan: And just to add on the streaming equation, the partnerships that we're engaging in for bundles are important, but also our relationships with our wholesalers, so Amazon, Roku, Philo, other folks that we participate within tradition in addition to the traditional are really critical, and they are great partners in giving us data and insights around our subscribers and our utilization. So we're getting smarter and better at really identifying a privacy-compliant way who's watching what and how to engage with them in addition to the communications that are coming from their subscription provider. So if Amazon's talking to a customer, we know, but then we can supplement that conversation with specific sort of NOS and suggestions to keep the engagement level high. And then I'm particularly proud here of the team really learning and taking a page from sort of the Cablevision playbook on triple play and retention marketing that we're getting really sophisticated and smarter about retaining customers as opposed to just going after and spending, you know, subscriber acquisition money to bring them on board. So we're learning a lot and heavily, heavily focused on retention, which obviously will pay itself in the long run.
Thomas Yeh: Appreciate you, bud. Thank you so much.
Patrick O'Connell: Thanks, Thomas.
Operator: Thank you. As a reminder, if you'd like to ask a question, please press star one one.
David Joyce: Our next question comes from David Joyce with Seaport Research Partners. Your line is open.
David Joyce: Thank you. Could you please provide some more color on what kind of lift in viewership and linear ad revenue that you are interpolating is probably coming from licensing your content to Netflix. And given you did say there's double-digit growth in digital advertising, just was wondering, you know, what it'll take to get that whole, you know, segment, including linear, to get closer to matching the connected TV ad growth. Thanks.
Kim Kelleher: Sure. David, this is Kim Kelleher. Thanks for your question. I just clarify that the Netflix partnership is not ad-supported on platform even though our shows are distributed on both their ad tier and on their ad-free tier, they are distributed in a no-ad way. So there is well, just wanna clarify that one point. But to your next question, I do believe we are making great progress. The innovation we're doing in advertising which is really focused on three areas. It's to make our inventory more available to buy seamlessly, to use data as Kristin just talked about in targeting to make our inventory more valuable. And then last, packaging our inventory in a cross-platform way so that marketers can access our full scale of viewership at once regardless of how they watch TV. So, you know, we've mentioned on past calls, we've innovated with making our debut with industry-first biddable programmatic buying capabilities embedded across our linear networks. We have added AMC Plus ad-supported inventory to our cross-platform solutions. And that's been incredibly well received by the marketplace. We're adding a Shudder ad tier as Patrick just talked about in Q1. So that will add inventory as well. Sorry. I meant to say in fall. And then it's that way we package that inventory. Like, really delivering full genres to advertisers that are looking for targeted cohorts and audiences, really engaged fan communities, and it's working incredibly well. Most recently, as Kristin talked about in her remarks at the top, we launched outcomes. Our new performance product that's built into our Audience Plus insights and data targeting platform, and this allows advertisers to see campaign outcomes and optimize delivery in real-time. So what I'm saying is, cumulatively, we are making tracks towards leveling out the differential between the declining linear environment and the growth in our digital environment. Just gonna take a little bit of time.
David Joyce: Yeah. Appreciate that. What I was looking for, I guess, was how are you interpolating your, you know, licensing to Netflix into what, you know, what, you know, kind of incremental viewership you're attracting on your linear properties, you know, like, the new seasons of what you've put on to via to Netflix, for example.
Kim Kelleher: I think it's not so much, I guess, a direct correlation with linear, but would say, you know, what we're thrilled about is as we are launching the new seasons of these shows that were on Netflix prior, we're seeing significant increases in AMC Plus acquisition. Based on people watching the earlier seasons on Netflix. So we definitely see a strong correlation between they viewed it on the, you know, the massive platform that is Netflix, and then they're hungry for more so they come back to us and purchase AMC Plus to see the latest, which is exactly why we, you know, it's the Netflix effect that we talked about on the last call, and that's definitely has worked really well for us.
David Joyce: Understood. And just one final thing if I could, please. On the content licensing, are there specific projects that are being sold to third parties like you did with Silo, Ergo, or is everything still going to be for your, you know, for your services first?
Dan McDermott: Yeah. David, this is Dan McDermott. From the studio side. Currently, we're producing pretty much exclusively for our AMC-owned platforms right now. We do have a studio. We are able to produce for third parties when it's beneficial to us. And it makes financial sense. We do have a lot of interest in our studio content. So we're gonna be strategic and opportunistic as we go forward. And when it makes sense, you know, and we can generate revenue and it'll be accredited to the business, we'll explore those opportunities.
Patrick O'Connell: And David, Patrick from the finance side. You'll recall the guide last year for 2024 was $225 million of run-rate content licensing revenue that was based on our current level of production. We're $250 million this year. Right? So I just want to did that help sort of contextualize, you know, the fact that, you know, one, we continue to produce at, you know, very healthy levels. And two, the market continues to be extraordinarily receptive to the programming that we're producing. So it was a net growth driver in 2024, and then we think it's gonna continue to be a tailwind.
David Joyce: Great. Thank you.
Operator: Thank you. Again, if you'd like to ask a question, please press star one one.
Operator: There are no further questions at this time. I'd like to turn the call back over to Nicholas Seibert for any closing remarks.
Nicholas Seibert: Thank you all for joining us today. Have a good day.
Operator: Thank you for your participation. This does conclude the program. You may now disconnect. Good day.